Operator: Ladies and gentlemen, thank you for standing by, and welcome to the First Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your speaker for today, Ms. Julie Cimino. Ma’am, you may begin your conference.
Julie Cimino: Thank you, operator. Good afternoon, everyone. This is Julie Cimino of LHA Investor Relations. On the call today, President and CEO, Peter Holt, will review our first quarter and the impact of COVID-19 on the business. CFO, Jake Singleton will detail our financial results. Then Peter will close with a summary and open the call for questions. Please note, we are using a slide presentation that can be found on the Investor Relations section of the Company’s website. Today after the market closed, The Joint Corp. issued its financial results for the quarter ended March 31st, 2020. If you do not already have a copy of this press release, it can be found on the Investor Relations section of the Company’s website. As provided on slide two, please be advised, today’s discussion includes forward-looking statements, including statements concerning our strategy, future operations, future financial position and plans and objectives for management. Throughout today’s discussion, we will present some important factors relating to our business that could affect these forward-looking statements. The forward-looking statements are made based on our current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. Factors that could contribute to these differences include but are not limited to the continuing impact of the COVID-19 outbreak on the economy and our operations, including temporary clinic closures, shortened business hours and reduced patient demand, our failure to develop or acquire company-owned or managed clinics as rapidly as we intend, our failure to profitably operate company-owned or managed clinics and the other factors described in Risk Factors in our Annual Report on Form 10-K that’s filed with the SEC for the year-ended December 31st, 2019 as updated for any material changes described in any subsequently filed quarterly reports on Form 10-Q as they may be revised or updated in our subsequent filings, including the one we anticipate filing on May 8th. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we’re not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess the financial performance. Management believes they provide a more transparent view of the Company’s underlying operating performance and operating trends than GAAP measures alone. Reconciliation of net income to EBITDA and adjusted EBITDA is presented in the press release. The Company defines EBITDA as net income or loss before net interest, tax expense, depreciation, and amortization expenses. The Company defines adjusted EBITDA as EBITDA before acquisition related expenses, bargain purchase gain, net gain or loss on disposition or impairment, and stock-based compensation expenses. Turning to Slide 3, it is my pleasure to turn the call over to Peter Holt. Please go ahead, sir.
Peter Holt: Thank you, Julie. I welcome everybody to our Q1 earnings call and I’d like to begin by thanking extraordinary healthcare workers across this nation as they battle COVID-19. Nothing could be more important than for each of us to do whatever we can to combat this pandemic and minimize its impact. As the CEO of The Joint Chiropractic, I want to reiterate that our primary concern which guides all of our actions is the health and well-being of our patients and those who serve our patients. As we stated last month, The Joint is relying on guidance from national and local chiropractic associations and healthcare organizations to direct our conduct. Most states directors view chiropractic care as an essential healthcare service that can be used by patients with a wide array of health conditions. Therefore, we’ve been committed to remaining open wherever and whenever possible. Additionally, we’ve implemented increased hygiene routines, monitoring and operation protocols which we have detailed in our Company website.  As we weather this unfolding crisis, I am so grateful for the compassion of our franchisees, doctors and support teams who are also in the front line and have continued to provide chiropractic care to our patients. By staying open, we’re able to remove some of the burden from the traditional medical resources, allowing our healthcare system to focus on treating those afflicted by COVID-19 and the fact that so many of our patients continue to visit our clinics is a powerful testimony to the view that our services are indeed essential to their healthcare. Today, I’ll briefly review our first quarter metrics and discuss how we’ve been managing our response to the coronavirus pandemic, the support resources we offer our franchisees and our plans for the remainder of the year. Then Jake will discuss our financial results in greater detail, after which I’ll open the call for questions. The Joint continues to revolutionize access to chiropractic care with convenient retail settings, concierge style and membership-based services, attractive pricing and hours, without insurance or appointments. Our hybrid model of company-owned or managed clinics as well as our franchise clinics have fueled our ability to expand in a capital-light fashion. Already, with the largest and most recognizable provider of chiropractic care in the country, which in 2019 was estimated to be $15 billion and expanding, illustrating our opportunity for continued growth.  After four years of robust unit growth and a focus on improving operations and marketing, we entered this crisis better prepared to manage these unprecedented circumstances. Strong momentum continued for the first 2.5 months of the quarter and approximately 95% of our clinics remained open through March 31st. However, since then we’re seeing a significant impact from COVID-19, which will be discussed in greater detail later in the call. For the first quarter of 2020 compared to the first quarter of 2019, we continued to deliver solid growth. Systemwide sales grew 24% and comp sales for clinics that have been opened for at least 13 full months were 15%. On March 30, 2020, we had $10.7 million in unrestricted cash, up from $8.5 million, reflecting the $2.2 million drawn from our recently established line of credit. Turning to Slide 4, let’s review our portfolio. At March 31, 2020, we had 530 clinics in operation, up from 513 at December 31, 2019. At quarter-end, the clinic mix remained 88% franchised and 12% corporate. In February, we expanded the Los Angeles regional cluster with a new Greenfield clinic, bringing the total company-owned or managed clinics to 61. During the quarter, we opened 16 franchise clinics, bringing the total to 469. Three of the clinics opened in the Q1 2020, including one Greenfield earned the Go Elite status by achieving at least 400 new patients and $30,000 in sales within the first two months of operation. Notably, five of the six corporate Greenfields that we’ve opened in 2019 and 2020 have achieved the Go Elite status, with one of our corporate Greenfields having the best grand opening performance of any clinic in the history of the Company, as measured by the first two months of growth [indiscernible]. Turning to slide five, during the first quarter we sold 24 new franchise licenses compared to 30 licenses sold in Q1 2019. Traditionally, our franchise sales are highest in the second quarter as our annual franchise disclosure document is updated at the end of April and our franchisees often prefer to sign the whole agreement. In April 2019, we sold 30 franchise licenses compared to six in April 2020. Albeit it’s a significant decrease, we believe selling any licenses in this current climate is remarkable and indicative of the positive long-term outlook of our business. Our regional developers or RDs continue to fuel our growth and were responsible for 92% of the franchise sales in Q1 2020 and five of the six sales in April. To further underscore the appeal of our concept, in late March of this year, we saw that the new RD rights for Nebraska, Iowa and South Dakota, increasing our R&D platform to 22. This new RD has an extensive multi-unit franchise background and currently owns over 30 Great Clips salons. This territory carries a minimum 10-year development schedule of 18 units. Turning to slide six, let’s review how COVID-19 is impacting the Joint, what actions we’ve taken and how we’re prepared for managing the uncertainty caused by the pandemic. To assist us in our decision-making, we are carefully following guidelines from trusted authorities such as the Centers for Disease Control and the World Health Organization, and local and state health authorities. Since the onset of the pandemic, The Joint has been working tirelessly to prepare the Company to meet the challenges in this dynamic situation. Some of these actions include that we’ve increased the frequency of our communication to our franchisees and clinic teams, including weekly all-network townhalls to help them navigate the rapidly changing environment and special addition webinars that dive deep into important topics such as marketing in this time of uncertainty, navigating economic relief options, managing HR issues, improving the patient experience and self-forecasting in light of the COVID-19 environment. We instituted an internal hotline to our rapid response team and an FAQ website connecting franchisees with all our published information and documentation related to COVID-19. We’re addressing patient safety concerns by educating them about the enhancements in our policies and our procedures utilized in our clinics to align with the latest facts and best practices related to hygiene and sanitation, patient screening, clinic operations and other critical protocols. We’re adapting our content marketing plan to provide patients with additional safety and support during the pandemic, including what to expect during the visit to The Joint as well as numerous tips in maintaining their health and wellness during this pandemic. And we’re strengthening the supply chain of PPE and cleaning supplies to our clinics, including a new partnership we recently announced with Amazon Business to supply products approved by the CDC. To further support our franchisees during this crisis, we’ve extended several temporary concessions to them. This includes waiving the minimum royalty requirement for all franchisees for the remainder of 2020, the minimum local ad spend requirement through the end of Q2 and the monthly tech fee for clinics closed 16 days or more in that month. We’ll continue to explore opportunities to bring additional relief and support wherever we can and wherever it makes sense for the short and long-term health of our franchisees. To assess the effectiveness of our communication with our franchisees, in mid-April, we conducted the Quick Pulse survey that was executed by Franchise Business Review. The feedback was very positive. Among the highlights, 88% of the franchisees stated that they were either very positive or mostly positive about their association with The Joint and 90% stated that they were either extremely confident or somewhat confident about the long-term future of the business. The survey results validates our effort to-date and provided helpful insights that we’re using to further improve our support of our franchise community. In consideration of the impact of COVID-19, let’s review our current corporate strategies for technology, marketing and overall operations. Regarding technology, we are suspending the launch of our new CRM system access. Successfully rolling out such a foundational platform for our business requires the entire network’s full engagement. Given this, it did not make sense for us to proceed with such a critical project in the middle of the pandemic. We continue to view this as one of the most important projects of our future and we look forward to picking up with the development. For now, we estimate the roll-out will most likely be a 2021 event. Regarding marketing, we’ve shifted our messages to emphasize chiropractic care as an essential healthcare service and to provide content that gives our patients information for maintaining their health and wellness during the pandemic. We’ve encouraged our franchisees to sustain their advertising efforts and to continue nurturing their patient relationships in their communities. Most of our large markets have continued their broadcast and media buys on television and radio and we believe our strong efforts to maintain our marketing outreach during COVID-19 will benefit our brand. We’re taking actions to preserve cash.  We’re negotiating with landlords and deferring capital expenditures, developing new greenfields and acquiring clinics are our most significant use of cash. Previously, we had targeted opening between 16 and 20 corporate clinics in 2020. However, due to COVID-19, for the remainder of this year, we’ve chosen to slow down the pace of our corporate clinic expansion. Now, I’ll review the state of our business as of today. Unlike many retail systems that have been forced to close most or all of their operations, we’ve been fortunate that the vast majority of our network remains open for treating our patients. At the end of April, approximately 90% of our clinics were open though 38% had modified their hours of operation. And those patients who have been unable to visit a clinic either because the clinic was closed or because they are in self-quarantine, we’ve instituted a policy that allowed them to temporarily freeze their memberships rather than cancel and no cost to them. In April, in this COVID-19 environment where the majority of the states have some form of shelter-in-place directive, we maintained approximately 60% of our expected patient visits. This reflects the importance of chiropractic care to our patients and validates our point of view that they see us as an essential healthcare service. April gross sales were down over 30% compared to our pre-COVID expectations. Member attrition has been fairly stable. While new patient conversion is up compared to previous periods, we have experienced a significant drop in our new patient counts. The core of our patient base remains engaged and appreciative that we’re open. Going forward, our focus is on the development of our marketing plan that will be launched once we emerge from the pandemic, aimed at our existing patient base as well as new patient growth. And with that, Jake, I will turn it over to you.
Jake Singleton: Thank you, Peter. Turning to slide seven, I will compare first quarter 2020 to first quarter 2019. Systemwide sales for all clinics open for any amount of time grew 24% to $60.6 million. Systemwide comp sales for all clinics open 13 months or more increased 15%. Systemwide comp sales for mature clinics open 48 months or more increased 10%. Please note, these comp sales included clinics that were closed for a portion of March. Buoyed by the strong first 2.5 months of the quarter, the growth rates are still remarkable. However, going forward, we anticipate systemwide comp sales will fall as we manage the impact of COVID-19. Revenue was $13.6 million, up $2.9 million or 28%. Company-owned or managed clinics contributed revenue of $7.3 million, increasing 29% from the same period a year ago. Franchise operations contributed $6.4 million, up 26% compared to the same period last year. Increased revenue for both categories is due to the greater number of clinics and continued organic growth. Cost of revenues was $1.5 million, increasing 23% over the same period last year, due to higher regional developer royalties and commissions, which reflects the success of the RD strategy. Selling and marketing expenses were $2.1 million compared to $1.5 million. General and administrative expenses were $8.7 million compared to $6.6 million. As previously discussed, a significant increase in corporate clinics opened over the course of the year requires additional resources to ensure our high operating standards. We posted net income of $815,000 or $0.06 per diluted share compared to $953,000 or $0.07 per diluted share. Total adjusted EBITDA for the first quarter of 2020 was $1.7 million compared to $1.6 million in the same quarter last year. Our strong efforts to maintain our marketing outreach during COVID-19 will benefit our brand. Franchise clinic adjusted EBITDA increased 19% to $2.8 million. Company-owned or managed clinic adjusted EBITDA was $1.4 million, up 8% compared to last year, even with the expenses associated with the new clinics. Corporate expense adjusted EBITDA loss increased from $2.1 million to $2.6 million due to accounting and legal fees. As Peter noted, we’re conserving cash by deferring capital expenditures including slowing the pace of our corporate clinic expansion, negotiating with landlords for rent deferrals or abatements, and analyzing other opportunities to reduce cost. During and after the quarter, we took measures to fortify our position and increase our financial flexibility. In February, we entered into a non-dilutive line of credit with JPMorgan Chase Bank. The senior secured credit facility of $7.5 million included a $5.5 million developmental line of credit and a $2 million revolving credit line. To prepare for the uncertainty related to COVID-19, in March, we drew the full $2 million from the revolving credit line and at March 31, 2020, our unrestricted cash totaled $10.7 million including the $2 million draw compared to $8.5 million at December 31st, 2019. The $5.5 million developmental line of credit can only be accessed for development, not for general corporate purposes or working capital needs. The accordion feature related to the revolving facility is uncommitted and therefore we are unable to utilize it at this time. By March 31st, 2020, the Company fully utilized the debt financing available to it. In April, meeting the CARES Act PPP loan requirements, we applied for assistance and received $2.7 million through JPMorgan Chase. This two-year loan has an interest rate of 0.98% per annum with initial principal and interest payments deferred for six months. The goal of the program is to maintain jobs in the small business sector and we are using the PPP loan proceeds to ensure we can retain our employees and fund the payroll. The Joint operates one clinic and as a franchisor supports 469 franchise small businesses across 34 states in this country. Because of these PPP resources, we have been able to keep all of our corporate-owned or managed clinics open. To-date, we have not furloughed or laid off any of our 150 full-time employees or nearly 250 part-time employees. Based on our current interpretation of the regulations of the program and the ongoing uncertainty of the impact on our business due to COVID-19, we believe we continue to meet the eligibility requirements of the PPP loan. As announced in our press release disclosing the loan, as of April 14, 2020, after giving effect to both loans, we had an unaudited unrestricted cash balance of $13.6 million. In March, we withdrew our financial and clinic opening guidance. Until we have a better understanding of the impact of COVID-19, we will not reiterate guidance. And with that, I’ll turn the call back over to you, Peter.
Peter Holt: Thanks, Jake. Turning to Slide 8. While no one can accurately predict how ultimately this will unfold, we do know that people will continue to seek more non-invasive holistic ways in which to manage their pain and we’ll be ready to treat them. We’re confident in the long-term viability and the value proposition of our business model. In closing, I would like to once again express my deepest gratitude to all of The Joint Corp. IT teams who’ve continued to serve in this unprecedented pandemic. Their dedication to our mission is awe inspiring. To our franchise community, our RDs, our corporate team and The Joint colleagues across the country, I thank you. We are in unchartered waters and you are truly making a difference in all the lives that we touch. Julia, I’m ready to open-up the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Oliver Chen.
Oliver Chen: Hi. Thank you. Regarding your remarks on new patient counts, what are your thoughts about what’s ahead and what you’re monitoring as a catalyst for that improving and things that you may be able to control versus ones that you cannot? And would also love your take on member attrition, which looks like it’s been fairly stable and your thoughts on managing that as well. And I had one to follow-up. Thank you.
Peter Holt: Hi, Oliver. Good to hear your voice. Thank you for those questions. As we’ve talked about in the call is that there is no question that the metric that we’ve had the greatest negative impact is our new patients, which makes sense to me, that we have a core patient base that continue to come in to see us and that if your questioning whether you want to try chiropractic care for the first time, it makes sense to me that in this pandemic you may hesitate before you do that. And so, that we are monitoring very closely the impact that’s having on our overall business and that we are preparing for a program to relaunch once we get further past this pandemic to reeducate those consumers that they should be able to come in. We think actually with chiropractic care, in light of this pandemic with our doctors standing up and serving patients that were in a space more than ever before to truly be able to educate the consumer about the power and efficacy of chiropractic care. On the attrition rate though and just how -- our level of members that drop again, I was a little surprised on how unaffected it was, it’s almost -- it’s a little, maybe a few points or a point higher than our traditional attrition rate. And so again, I think that reflects those patients who are already part of our system and using our services continue to do so and they see this as a part of their essential healthcare so that they are in fact coming in as we continue to be open to serve them. And so, that to me was a little surprising, very gratifying to see that in our system.
Oliver Chen : Thank you. And my follow-up was, you’ve done a really proactive job managing liquidity. What were some of the trade-offs you made and deferring the capex and also as we think about your SG&A, are there fixed versus variable cost, how you’ve been managing some difficult choices. Thanks.
Jake Singleton: Absolutely. Thanks, Oliver. You’re right. We were in a pretty rapid period of growth, so we first looked at those capital expenditures and the greenfield development or acquisition of franchise units. We had a lot of dollars earmarked for that that we’re able to slow the pace and watch how this unfolds. We’ve gone down line by line through the P&L analyzing the rest of those variable expenses. As we mentioned, because of some of the liquidity choices that we made we’ve been fortunate to not have to make some difficult decisions yet. All of the actions that we’ve taken so far are geared toward preserving liquidity at the moment and we’ll watch and see how this unfolds, but there’s such a great deal of uncertainty that we’re being very mindful, and going through kind of line by line on that front.
Oliver Chen : Thank you and best regards.
Operator: Your next question comes from the line of David Bain.
David Bain: Great, thank you. And I hope you and your family are well. I guess, Peter, I understand the ramp down in capex in the current environment. But looking longer term, how does what’s happening with COVID change your strategic mindset or opportunity for additional accretive buybacks? I’m sure there’s several opportunities that have emerged and rents -- I think you mentioned rents, those are probably also lower in prime locations. I mean just given your cash position, given COVID, can you give us a broad-based view on kind of the corporate-owned strategy going forward? At what point visibility is there in your mind to take advantage, what I think many of us think is a very proven business model?
Peter Holt: David, thank you very much and a great question. And to answer the question in the broadest terms, what do I think COVID impact would have on our overall strategic vision, our strategy, and I would say none. I would say that the soundness of this business concept, as you just mentioned, is still there, that our strategy of having both a combination of corporate units with our franchise unit is sound and I absolutely believe that we will continue down that direction. The challenge we face right now is that for anybody to predict what’s going to happen between now and whenever the end of this pandemic is or whatever you can call the end of the pandemic is uncertain and that we all can look at different predictions, are we going to get the big V, so could we have gone through this plunge and now we’re going to go up on the other side and everything will be better or is it going to be a W or is it going to be this horrible squiggly mark that lasts for 18 months, I don’t know. And so, as Jake just said, is that one of the biggest levers that we have to preserve cash is in fact our greenfield development and acquisition. Now that we do have the $5.5 million line of credit from JPMorgan that is specifically for development and that, yes, there could be certain opportunities that would make sense as we look forward and continue to manage or to respond to the impact of the COVID virus that could mean that we do a couple of acquisitions here. You didn’t hear us say that we will stop Greenfield.  Listen, you all know that if we are going to open between 15 and 20 Greenfields in 2020, which is what we announced pre-COVID, what that means is that is a lot of work that we have been doing for the last year in preparation for that and that work is still out there so that we are working with some of these nearly opened clinics, nearly signed leases, existing leases that we’re trying to build out. And so, we’re being very, very thoughtful about where we push those resources to move those deals forward in light of where we are -- and in each day looking at where we are as this pandemic impacts our business.
David Bain: Right. Okay, perfect. And I guess I get one more. I think this is mention of 2020 guidance, I know I’m trying to choose, 2020 guidance is obviously prudent and I think we all appreciate you did it right away. I don’t believe you suspended the calendar 2023 metric guidance of 1,000 units. Based on your commentary just now, can I assume that, that at this point at least is still intact?
Peter Holt: Yeah, it is. We absolutely -- we have not backed away the idea of getting to a 1,000 units by 2023. I can reiterate. We believe in the soundness of this business model. Even in the midst of this pandemic, you can see the numbers that we’re posting that we believe that while we may have a little to catch-up because of what happened in this year is that we are still at this point believing that we can reach the 1,000 unit goal by the end of 2023.
David Bain: Awesome. Thanks, Peter. Thanks Jake.
Operator: Your next question comes from the line of Clarke Murphy.
Clarke Murphy: Hey, thanks for taking my questions guys. I know you guys mentioned the slowing of corporate store growth from the 16 to 20 range that you initially guided. I was looking to see, is there going to be a similar decrease in franchise unit growth?
Peter Holt: Yeah, I think that’s a logical leap of faith, Clarke, and it’s good to talk to you. What we do have is based on our previous guidance, there was a lot of clinics that are in the work. So we do have a pretty robust pipeline right now. I think the question is really -- as everyone’s kind of waiting to see how this unfolds. So I think we’ll have some pent-up demand, but there is no doubt that I think our overall numbers will be impacted.
Clarke Murphy: Okay, thank you. And then if you could just provide any additional color. I know you mentioned that all of your corporate-owned clinics are still open. Do you have any visibility into how many franchise clinics are still opening and kind of what the impact to patient visit to those clinics has been like?
Peter Holt: Absolutely, yeah. The overall system was affected by about 90%. So if you take that 10%, that’s between 50 and 60 franchise units that were affected. And again, we’ve had quite a few others that have modified their hours to try to accommodate during this time. So that’s the overall kind of impacted population. So there’s a second leg to that question?
Clarke Murphy : Yeah, Just like if you could talk about what percentage of patient visits are still occurring at those clinics?
Peter Holt: Yeah. I mentioned that, when I was talking about April specific it’s [Technical Difficulty] months we’ve had with the full impact of the COVID-19 and what I mentioned is that overall, both including corporate and franchise clinics, the overall expectation on the visits that we would have been expecting was 60% was there, so obviously that was a 40% drop and that really was across the network. We had specific markets that had a unique impact. So for example, the only state where because of the directives from the Governor that we closed down fully for at least a month, it was Colorado where we had 28 clinics. Colorado, the directive has been amended and those clinics are opening up. But when we talk about that 60% is an overall average of all corporate and franchise clinics. And what I would say is when we look at all the different metrics we’ve been mentioning, whether we’re talking about new patient growth or attrition or even the conversion of those patients who are coming in is that they’ve been pretty consistent across the board in terms of both the corporate and the franchise performance.
Clarke Murphy : Okay, great. Thanks guys.
Operator: Your next question comes from the line of Frank Takkinen.
Frank Takkinen: Hey, guys. Thanks for taking my question. I’m going follow-up on Clarke’s a little bit here on the 60% trigger you were speaking to. I thought that was pretty impressive that you are even able to hold on to 60% of your business. So I was hoping you could talk a little bit more about some of the trends you saw across April, maybe comparing the first half of April versus the second half of April and maybe even potentially the first week of May, to see if you’re starting to see any early signs of maybe a potential trough in some geographies.
Peter Holt: Hey Frank, another great question. In that what I would say is that -- just also understand that 60% is visits and that because of 80% of the average clinics member subscription is that, that doesn’t necessarily even reflect what we’d say is what the gross sales impact was. And I think I mentioned in my clinic is the gross sales against what we would have expected in April this year compared to April last year was down about 30%. So you can see that there is still a lot of our patients, even though they may not be visiting us much, but they haven’t necessarily dropped their membership. And so you have that overall impact. I’ve been talking to a lot of other franchisors, both have been partially opened are doing just delivery and whatever the systems are and I would say uniformly across the board is that we all have been feeling kind of an uptick I would say in the last part of April and into May and so that there is definitely as we are measuring these metrics on a daily basis, we’re seeing kind of, it feels like, at least one trough we’re moving to the other side up. Now what that trend means over a 10-day period or a two-week period or a few more days in May is anybody’s guess, that is very heartening to see. And as we are preparing for, as I’d mentioned, the marketing campaign where we want to go out and come back to those patients who have frozen or canceled and ensure that they come back to us and then do a further reach out to our new patients, so we believe that can come under the fold of chiropractic care in a new way. We’re watching that very, very carefully to see just how sustainable this is and what it means going forward.
Frank Takkinen: Got it. And then following up on that same area of thought. I was wondering if you’re also seeing any differences of patient stickiness when you’re thinking about your clinics that have been open for maybe 48 plus months versus your 13 months to 48 months and then your newest less than 12 months, just trying to get a gauge for stickiness across your different more established clinics versus some of your modern new clinics?
Jake Singleton: Yeah. I think the more established the clinic the more established their active member base is, right. So when you think about the phenomenon that were most deeply impacted by our new patients, the clinics that have a robust active member base, that have those core customers. As their attrition levels continue, their active member base will decline, but the overall remaining patient base is still strong, right.  They had a bigger base to start from. As you start to think about some of the younger clinics, they’re still building that active member base. So when you think about the impact to their new patients, it’s going to create a longer ramp for those younger clinics and that’s why it’s so critical for us to try to develop these marketing programs. One of the things that we’re being really mindful of is that we want to make sure that we have the resources to get back out there and target those opportunities when we have a little bit more clarity where this is going. So I would say if clinics are building those new patient bases, they’re probably going to have a little bit longer runway --
Peter Holt: And be a little more vulnerable.
Jake Singleton: Absolutely.
Frank Takkinen: Got it. And then if I could just squeeze one last one in. I appreciate taking all my questions. Just given the fragmented nature of the overall market, could you talk to maybe the thought process around you guys financial strength as a larger network when you do come out of this and maybe curtail it into how you’re thinking about your marketing spend in the potential case that you could start to take some share from some of the less financially strong competitors in this fragmented market?
Peter Holt: Yeah, that’s a great question and obviously I know all of us have been on all kinds of different webinars on topics related to COVID and the impact it’s having on retail. And I think one of the uniform takeaways from this COVID impact is that the mom and pops of your industry, whether it’s chiropractic or it’s hair salons or frozen desserts are going to be the ones that suffer the most, have the least resources and are most vulnerable to bankruptcy. And so I’ve heard over and again is that these chains, these franchise systems that have the ability to do these webinars and collectively work together and pool resources so that you can maintain a marketing presence in a local market, they are the ones that are absolutely going to be the ones that survive and thrive. And I think that we are in fact going to see quite a number of bankruptcies, specifically in those smaller mom and pop operations that just don’t have the resources to tap into to weather the storm. And I think that is absolutely reflective of chiropractic. And interestingly what that does for us is that we are -- one of our critical issues is to make sure that we have the highest quality doctors to fill our clinics and serve our patients and as these challenges impact the chiropractic community, I don’t know that it changes our competitive landscape so much because we really don’t have any major competitor at the moment. But I think what it does do is give the opportunity for those doctors who are independent who are finding more and more of a challenge to maintain their practice to be able to take a second look at The Joint and see us as potentially a place to work and still stay in the chiropractor community.
Frank Takkinen : Got it. All makes sense. Thank you for taking all my questions and keep up all the good work, weathering the storm. Thanks.
Peter Holt: Thank you so much.
Operator: Your next question comes from the line of Jeff Van Sinderen.
Jeff Van Sinderen: Good afternoon. I guess my first question is just thinking about this and a lot of people have been deferring going out anywhere and some of them deferring getting chiropractic work done on them. I’m just wondering how you’re thinking about the potential for pent-up demand for those that have been suffering with pain during COVID.
Jake Singleton: Yeah, it’s certainly a possibility. Jeff. It’s good to talk to you. Right now we are in an essential business. We’re out there providing that care and we will be there when those patients are ready to come in and receive their treatment. I think that’s why it’s important for us to be mindful of that marketing spend, right, so that our presence is still out there trying to preserve the resources, so that our name is out there that they know that we’re available to them. But we certainly have the clinics that are open and available. And you’re right. I think there could be a pent-up demand, but again with the uncertainty it’s just hard to say.
Peter Holt: And one of the things we’re doing, given a lot advice to our franchise community and our corporate clinics is that this is a time to stay fully engaged in the relationship with your patients, that whether you’re close, whether you have more limited operating hours, whether you’re open to normal hours, is that now more than ever that whether the patient feels uncomfortable to come in or whether they’re coming in on a regular basis is that you want to be as fully engaged in that relationship as ever before. And we feel that that’s going to help us as we come out of this and really go back out there and reach out to our frozen patients or patients that canceled because they were uncertain. That gives us that space to be able to come back and let them know that we’re there for them and that this is the time to come back.
Jeff Van Sinderen: Okay. And then you mentioned webinars, just wondering if maybe you can touch on a little bit more of how the process of regional directors adding new franchisees is evolving, if at all, during the COVID paradigm and then maybe how we should think about the pace of adding new franchisees this year.
Peter Holt: Sure. There is no question, as Jake had said earlier is that, whether we’re talking about franchise sales or franchise openings, is that we definitely will have an impact on both those counts. Our previous guidance, when we talked about new franchise clinics in 2020, we had guided between 80 and 90 and of course we pulled that back. And as Jake said is that even with our own clinics is that there is this pandemic is what, two months old? And the average time to build out a clinic, let’s say, is somewhere between six months and nine months. So obviously there is a lot of signed leases there and businesses that are being built and that interest in buying new franchises. We talked about RD sold at the end of March when we felt like all the wheels were falling off of the US economy that we sold six franchises in April alone. And so there is I think a group of investors and supporters of The Joint from a franchisee perspective or an RD perspective who can see beyond this pandemic and truly see this as a viable business model that will be able to transcend the challenges that we’re facing today. We do expect that there will be an overall negative impact on our franchise sales that we are seeing it. We just told you we had April sales at six compared to 30 in last year. I would have expected to equal or exceed that number if we were in a normal environment. We know that as this unfolds that in some cases, you can get better deals with your landlords or locations that wouldn’t have been available. But on the other hand, trying to get a municipality that everybody is working from home or is close and getting your permits, and we were definitely seeing a negative impact on the time to get a clinic open just because of the fact that so many of the -- whether it’s your construction teams or whether it’s your permitting process are being impacted by the timing to be able to move forward in those areas.
Jeff Van Sinderen: Okay. And if I could just squeeze in one more, just wondering with the reopening of the US upon us, how are you thinking about getting all clinics opened and ramping hours at some of those that have cut back and getting the rate of patient visits up?
Peter Holt: Well, it’s a great question and the answer really is exactly as this patchwork of responses across this country is out there, is that as you know every governor has had their version of shelter-in-place and has their determination about how much they’re going to open and what parts they’re going to open. So I don’t think that we will have like a national moment where OK, we’re all open. What we’re doing is working region by region based on the directives and regulations at the state we’re operating in to ensure that that we’re able to either increase our hours or we’ll reduce them or like in the case of Colorado actually reopen the clinics. As I’d mentioned, Colorado was the only state where we were literally in order to comply with the directives from the Governor that all 28 clinics were shut down. Those directives were changed or were modified as you’re seeing across the country and that based on those modifications while we’ve had to make some significant changes in the way we operate the clinics in Colorado in order to be compliant with those new directives is that the majority of those clinics now in Denver are in fact operating and we’re working with them to try to reengage, like as I said, with our patients to bring them back into the clinic. So we’re seeing that and working closely, that’s our safety and support team that we put out there working with their franchisees to respond market by market as those conditions change. And then at some point, I think we’ll get to a point when we feel there’s enough of the country that is open that we can look at something on a more national basis in terms of really reaching out and educating them on a national basis, consumers, the fact that this is a chiropractic care.
Jeff Van Sinderen: Okay. Thanks for taking my questions and best of luck.
Operator: Your next question comes from the line of Linda Bolton Weiser.
Linda Bolton Weiser: So can you just remind us if you have franchisee groups that kind of have multiple units or are they more individual life type situations? And can you also give us some feel for how you are viewing the financial strength of the franchisee groups? Is there any way of saying, a percentage that you think is leveraged versus a percentage that might have higher financial flexibility? Can you just give us a little color for that?
Jake Singleton: Sure, Linda. The first part of your question -- I guess I’ll start with the back-end of the question first is, of the 469 franchise clinics, all of them are supported by our team of regional developers or franchise business consultants. And they have a very intimate knowledge of each of the franchisees in their market. We can certainly look at the KPIs through our systems and monitor how their sales and visits and all their standard KPIs are tracking, but because we have our regional developer model and a great team of franchise business consultants, they have a great pulse on the health of the franchisees. So one, we have a pretty intimate touch-point. Of the composition of the franchise group, that 469, we’ve got two operators that operate about 50 clinics, so pretty significant operators in that, right. And then the balance, there is about 160-something additional franchise groups that make up the balance of those units.
Peter Holt: The other thing I want to say, Linda, because, believe me, this is something that’s really important to us as well is the financial health of our franchisees is that the majority of our franchisees did in fact also apply for PPD loans, it’s all small businesses and, that’s in the first round, maybe I think what, about 25%, 30% of our network as we could understand that we’re able to obtain those loans. I think in the second round, we’ve seen that move up, so that we’re pleased to see that those franchisees have been able to tap into that program precisely for what it’s meant for is to protect our employees and keep them off unemployment. And so that we’re doing everything that we can to ensure the financial security of our franchise community.
Linda Weiser : Okay. And then, can I just ask you, I realize when you talk about -- it’s not going to be like a one-moment reopening. It’s going to be a gradual process. But can you give us like what kind of metric are you looking as to determine what might trigger your desire to open corporate clinics again? So is it going to be looking at the new member -- the new patient numbers metrics or is it going to be looking at their percentage of appointments kept, like what’s the metric that you’re going to be looking at to say, OK, it’s time to kind of get back to it?
Jake Singleton: Yeah, that’s a great question Linda. As a concierge kind of appointment free model, we’ll follow the KPIs in the markets, right. I think the tricky part of that question is when is the right time to open those clinics again. And again, there is so much uncertainty out there as to when win that right time is. What we’ve always said is that clinics that start strong stay strong. So we want to be really mindful that we’re trying to time that right. And in a period where there is so much uncertainty or shelters in place, whatever the directives are, we’re trying to make sure that we’re staying of course in line with the public safety regulations, but also standing ready so that when the patients are ready to come see us, we’re ready to open those doors. So we’re monitoring the KPIs very closely in the surrounding areas to see what the traffic patterns will be like, but I don’t think we can be too soon in that process because we want them to have the best foot forward.
Peter Holt: I also would say, Jake, is that as we look at this, of course, cash is a question that we have a number of clinics that are in the process, we have some ability to kind of speed it up or slow it down. Some of the issues are outside of our impact. We haven’t said that we won’t do any, we’re just saying that we’re slowing it down. And by slowing it down, what that does is it preserves the ability to make sure that we are in fact preserving cash as we go through this impact. And we see when those key metrics recover and we see gross sales improve and we see new patient counts come in, and so I think that we have those metrics to help us understand the impact it’s having on our overall network and it also allows us to say how comfortable do we feel to recommit those resources to still make sure that we have the liquidity on hand to keep this business going forward.
Linda Bolton Weiser: Thank you 
Operator: Your next question comes from the line of Anthony Vendetti.
Anthony Vendetti: Just had a curiosity, I mean I missed the beginning of the call because I had multiple calls going on today. But in terms of the -- I’m sure you have for your corporate-owned clinics a process in place so that the proper physical distancing and the proper PPE is being utilized by the staff and the chiropractors. In terms of the franchisees, are they following the corporate guidelines or is it left up to each franchise owner to decide how to best follow those type of guidelines and to ensure that the patients that are coming in feel safe and secure with the procedures you have in place?
Peter Holt: Anthony, it’s such a great question and there is no question that the franchisees are being held to the exact same standards as our corporate units in terms of making sure that we’re complying with all of the enhanced procedures in cleanliness and social separation and making sure that the patients are in fact feeling safe. And now, you also are governed by the local entities. So some of the rules and regulations, for example, in Colorado is that with these new directives to open it is requiring that the patients themselves have the masks, it’s requiring that the staff in the clinic have a mask, it’s requiring the use of gloves, that is used -- changed between each of the patients, it’s requiring actually the making of an appointment which is a non-appointment based concept. So we’re adapting to very specific rules and regulations of each entity that we’re operating in, but then we also had the national standard that’s enforcing the social separation, that’s pulling all of the non-essential things out of our waiting room so there is less opportunity for virus to be sitting in it. We’re limiting the number of patients that go back into the open bay, that were utilizing the enhanced procedures to sanitize the tables between adjustments. And there’s a whole series of other programs and protocols that were put in place and that are being enforced uniformly across the network. And it’s something that it’s not like we have franchisees who don’t want to do it. I think that there is such a level of awareness across this country about this issue is I think that there is a very high adherence in our system to ensure that we are using the highest standards to protect our patients and our staff.
Anthony Vendetti: Okay, great. Thanks, Peter. I appreciate it.
Operator: [Operator Instructions] You have no questions at this time.
Peter Holt: Okay. Thank you, Julia. I want to thank all of you for your time today. Please note, we plan to participate in the Craig-Hallum Virtual Conference scheduled at the end of May. And as I stated when I started this call, our primary concern is the health and well-being of our patients and those who serve our patients. Therefore, we are committed to remain open whenever and wherever possible. Typically, I end the call with a patient story. As the social media has been -- had such an effective tool in engaging with our patients in this pandemic, I’d like to close with a collage of some patients’ posts recently on our website. Elaine A writes, I was so happy you were open and there for me. My weekly visits are what keeps me straight. Matt posts, Thanks for being open. I work at a grocery store and my clinic has kept me going during this difficult and crazy time. David K writes, Thanks for staying open and helping me to stay physical. And finally, Catherine F posts, Thanks for being open and so respectful of the social distancing process. We’re all in this together. Dr. F, you got me back in order. I think our patients have kind of a sense of humor. This is a smattering of the thousands of messages that we’ve received that includes gratitude of being open and being treated by our doctors. Thank you and stay well.
Operator: This concludes today’s conference. You may now disconnect.